Operator: Good afternoon, and welcome to the Impinj First Quarter 2020 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ellen Hayes-Roth, Investor Relations. Please go ahead.
Ellen Hayes-Roth: Thank you, Operator. Good afternoon, and thank you all for joining us to discuss Impinj’s first-quarter 2020 results. On today’s call, Chris Diorio, Impinj's Co-Founder and CEO, will provide a brief overview of our market opportunity and performance. Cary Baker, Impinj’s CFO, will follow with a detailed review of our first quarter 2020 financial results and second quarter 2020 commentary. We will then open the call for discussions. Jeff Dossett, Impinj’s Executive Vice President of Sales and Marketing, is also on the call and will join Chris and Cary in the Q&A session. Management’s prepared remarks, along with trended financial data, are available on the Investor Relations section of Impinj’s website. Before we start, please note that we will make certain statements during this call that are not historical facts, including those regarding our plans, objectives or expected performance; the expected or potential impact of COVID-19 on our business, operating results, financial condition or prospects; and the expected or potential responses of government authorities, customers, partners and the company to COVID-19. To the extent we make such statements, they are forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. Any such forward-looking statements represent our outlook only as of the date of this conference call. While we believe any forward-looking statements we make, including concerning COVID-19, are reasonable, our actual results could differ materially because any statements based on current expectations are subject to risks and uncertainties. Please see the risk factors in the annual and quarterly reports we file with the SEC, and the COVID-19-related disclosures and risk factors in the Form 10-Q we filed today, for more information about these risks. We do not undertake, and expressly disclaim, any obligation to update or alter our forward-looking statements, whether as a result of new information, future events, or otherwise except as required by applicable law. During today’s call, all financial numbers we discuss, except for revenue, or where we explicitly state otherwise, are non-GAAP financial measures. Balance-sheet and cash-flow metrics are on a GAAP basis. Free-cash-flow is a non-GAAP measure. Before turning to our results and outlook, I’d like to note that the company will virtually attend Oppenheimer’s 5th Annual Emerging Growth Conference on May 12th and Baird’s 2020 Global Consumer, Technology & Services Conference on June 2nd. We look forward to connecting with many of you at these upcoming events. I will now turn the call to Chris Diorio, Impinj’s Co-Founder and Chief Executive Officer. Chris?
Chris Diorio: Thank you, Ellen. Thank you all for joining our call. I hope you and your loved ones are and remain safe and well. The past few months have been among the most tumultuous many of us have known. COVID-19’s impact is all around us, indiscriminately impacting people, families, communities and companies. Impinj is no stranger to that impact. COVID-19 has negatively affected our supply chain, channel partners and end users. And the coming months portend no less uncertainty. However, while the prevailing sentiment is negative, particularly in retail, aviation and automotive, there are bright spots as well, such as in omnichannel retail and supply chain and logistics. And while we see uncertainty in the second quarter, our first quarter results were strong. Consequently, I will focus today on updating you on the steps we are taking to navigate through this crisis, the long-term opportunities, we see for our business and the outcome we are driving. With a dedicated team, strong balance sheet, game-changing new products, RAIN market leadership and end users who are, especially today, experiencing the competitive advantage our products enable, we intend to emerge from this crisis a stronger company in a stronger market position than when we entered it. Impinj’s employees have shown amazing resiliency in the face of COVID-19. Even with more than 95% working from home, they not only met our first-quarter delivery commitments but also shipped $6.2 million of unanticipated customer expedite requests in the latter part of March. To meet those delivery commitments our operations team deftly balanced production among suppliers, staged finished goods to maximize geographic diversity and navigated shipping cost increases and availability. Our team is well aware that hospitals and healthcare facilities around the world are using our products in the fight against COVID-19, to track equipment and consumables and to streamline hospital operations. Because our end users use our products worldwide, not only in hospitals but also in other essential use cases, we understand the importance of continuing to meet our commitments while we strive to keep our employees safe. Our first quarter revenue, at $47.8 million, set another quarterly record, exceeding our prior record, set last quarter, by $7.0 million. It did so despite typical seasonality, in which revenue usually declines in the first quarter. Endpoint IC revenue was strong, buoyed by the $6.2 million in customer expedite requests, market growth, new opportunities and, we believe, a modest share gain. Systems revenue was also strong, led both by reader ICs and by gateway sales to the large North American supply chain and logistics provider we have discussed previously. Looking forward to the second quarter, we see pressure on both endpoint ICs and systems as the impacts of COVID-19 ripple through our customer base. Although we entered the quarter with healthy endpoint IC backlog, we are seeing push-out requests as we, and our inlay partners, work together to align their inventory with rapidly changing demand. Retail apparel, which consumes more than half the endpoint ICs worldwide, has been hit particularly hard by store closures. Aviation and automotive endpoint IC demand, although much smaller than retail apparel, has also declined significantly. On the positive side, retailers who are using RAIN are better positioned to sell online than their competitors who are not, which we expect to drive endpoint IC demand in the long term. RAIN usage in supply chain and logistics is also growing, and although its endpoint IC volumes, at least in the second quarter, are small, shipments today are running at holiday volumes and those heightened volumes may be the new normal. The ROI from deploying RAIN to track and optimize those shipments, and our consequent long-term endpoint IC opportunities, are both large. Our systems business, already facing second quarter headwinds from the North American project transitioning from deployment to operations, now also faces tight second-quarter customer capital expense budgets due to COVID-19. Consumer-facing use cases such as race timing and airline baggage tracking have paused. For the most part, retail pilots in loss prevention and self-checkout have also paused. Here again, supply chain and logistics is a bright spot, and although the opportunities, at least in the second quarter, await end-user capital allocation, the potential deployments and our consequent long-term systems opportunities, as evidenced by that large North American project we delivered over the last six quarters, are both large. To round out our second quarter perspective, delays in our Impinj M700 endpoint IC production ramp now exceed two months, impacted by shelter-in-place orders at our suppliers and partners. That delay engenders a further impact to our second quarter revenue. All told, COVID-19’s impacts on our endpoint IC and systems opportunities and new products, combined with headwinds from the North American project, the $6.2 million first quarter expedites and significant order pushouts from second quarter to third, all conspire to a second quarter challenge. Counterbalancing those headwinds is our first quarter momentum and strong RAIN adoption pre-COVID-19, the confidence our partners and end users have in our market leadership and strong balance sheet, and the gamechanging new products we have already announced, with others in development. Looking to the future, we believe our opportunity, with continuing organic growth and big, ROI-driven use cases, remains huge. I will highlight that opportunity with a few recent examples. Our partner Plexus implemented an Impinj gateway solution in their Malaysia manufacturing facility that drove a 92% decrease in the time to repalletize high-mix products. Finland’s largest manufacturer of kitchen furniture, Novart Oy, deployed our xSpan gateways and R420 readers, with our partner Finn-ID, to automate a manual-order pick and dispatch process, saving them hundreds of thousands of euros per year. Heilan, one of China’s largest fashion retailers, with support from our partners Xindeco IoT and Supoin, deployed an Impinj-based solution across their garment factories, logistics centers and retail stores, automating item sorting and tracking and saving tens of millions of dollars per year. Today, COVID-19, in the span of weeks, has shut physical stores and driven demand to retailers and brands with online fulfillment. The visionary retailers and brands that have deployed RAIN systems are well situated to match online orders to product anywhere in their supply chain and then ship from store. We expect those visionary retailers and brands to leverage RAIN strategically during this crisis. We likewise expect leading supply chain and logistics providers, with demand surging and needing to improve package tracking and operational efficiencies, to advance RAIN adoption. We are laser focused on both, and on the long-term opportunities they offer us. With a steady hand on the tiller, we are focused on emerging from this crisis a stronger company in a stronger market position. We know the second quarter will be difficult, but we have not lost sight of the big picture, of the benefits we bring to retailers and suppliers, of the improvements we drive in item-level visibility and logistics management. Enterprises will emerge from COVID-19 with a fierce determination to strengthen their businesses for the future. So we will continue focusing on leading apparel retailers, who we expect will emerge from this crisis with less competition, a renewed focus on omnichannel fulfillment and a hunger for the item visibility and consumer experience our platform offers. We will also continue focusing on supply chain and logistics, which we believe will see sustained growth well beyond COVID-19 and for which our platform offers compelling operational improvements. We will do so as we tighten our belts and use our balance sheet to increase our competitiveness, charting a path to adjusted EBITDA breakeven on the other side of COVID-19. One certainty is that this crisis will pass. When that happens, we want our suppliers, partners and end users there with us, in no small part because of how we acted. That we stood by them. That we invested in their, and our future. And that we did our part in this time of need. As an example of the latter, we set a company goal of raising roughly $750 per employee via an employee contribution and an Impinj match, or $200,000 overall, for local and global efforts to support those in need. As I wrote in a recent blog post, we want to be proud of how we acted, and we want you to see that pride, not out of hubris but because we did our part. That, even in the smallest of actions, we responded with care and empathy in the face of adversity. Be safe and be well. I will now turn the call over to Cary for our detailed financial review and second quarter commentary. Cary?
Cary Baker: Thank you Chris, and good afternoon everyone. To echo Chris’ comments, we are living through a period of unprecedented economic upheaval, with uncertainty about when businesses will return to a more-normal operating environment. In that light, today I will cover both the metrics we typically discuss on each earnings call, as well as additional, more detailed metrics that we do not plan to share on an ongoing basis but which we believe are appropriate for this call given the market uncertainties. First quarter revenue was $47.8 million, a new company record. Revenue grew 44.6% year-over-year and 17.2% quarter-over-quarter, compared with $33.1 million in first quarter 2019 and $40.8 million in fourth quarter 2019. First quarter endpoint IC revenue was a record $33.7 million, growing 54.2% year-over-year and 30.8% quarter-over-quarter, compared with $21.8 million in first quarter 2019 and $25.7 million in fourth quarter 2019. We entered first quarter 2020 with $25.1 million endpoint IC backlog. Bookings remained strong through mid-March, driven by new end-user deployments, and then declined in the last few weeks of March. As Chris already noted, we also had $6.2 million of unanticipated customer expedite requests in the latter part of March as some customers secured supply in a period of uncertainty. Despite those expedite requests, we still entered the second quarter with a strong $29.5 million backlog, more than double our $11.7 million backlog entering second quarter 2019. Today, with COVID-19 having dramatically reduced end-user demand, second quarter endpoint IC bookings are down significantly, both sequentially and year-over-year. We are also actively supporting our inlay partners to reschedule backlog and manage both their and our inventory in this new demand environment. First quarter systems revenue was $14.1 million, growing 26.1% year-over-year compared with $11.2 million in first quarter 2019, led by gateway shipments to the large North American project and strong reader IC and reader sales. On a quarter-over-quarter basis, systems revenue declined 6.2% compared with $15.1 million in fourth quarter 2019, primarily due to typical seasonality, partially offset by reader IC revenue growth. In the second quarter, systems revenue will decline due to the large North American project transitioning to an operational phase and generally tighter capital expenditure budgets in the face of the COVID-19. First quarter gross margin was 46.1%, compared with 50.0% a year ago and 50.6% last quarter. We took a significant inventory excess and obsolescence charge related primarily to Covid-19 reducing demand for endpoint ICs optimized for European retail applications and gateways that operate in the older EU frequency band. We expect the demand, when it returns, to be met by our M700 endpoint IC and by gateways that operate in the new EU frequency band. This E&O charge reduced our gross margins by 560 basis points. Normalizing for the E&O charge, gross margin increased about 110 basis points year-over-year driven primarily by leverage from higher revenue. At this time, we do not expect a material E&O charge in second quarter 2020. Total first quarter operating expense was $19 million, compared with $18.8 million in first quarter 2019 and $19.6 million in fourth quarter 2019. Research and development expense was $8.5 million. Sales and marketing expense was $6 million. General and administrative expense was $4.5 million. First quarter adjusted EBITDA was $3 million, compared with a loss of $2.3 million in first quarter 2019 and a profit of $1 million in fourth-quarter 2019. First quarter GAAP net loss was $4.3 million. First quarter non-GAAP net income was $2.9 million or $0.13 per share, using a weighted-average diluted share count of 23 million shares. Turning to the balance sheet, we ended the first quarter with cash, cash equivalents and short-term investments of $119.2 million, compared with $116.5 million in the prior quarter and $56.7 million in first quarter 2019. Inventory totaled $31.8 million, down $2.4 million from the prior quarter and down $9.5 million from first-quarter 2019. In the first quarter, net cash provided by operating activities was $1.8 million and property and equipment purchases totaled $1.1 million. Free cash flow was $700,000. I will now highlight a few items impacting our business. First, government-mandated shelter-in-place orders have caused several of our suppliers to operate at reduced capacity and some to temporarily close. In Malaysia, suppliers producing our readers and gateways and post-processing some of our endpoint ICs were shut down for roughly three weeks. Currently, those suppliers have returned to between 50 and 80% capacity. Second, we are experiencing challenges shipping products due to reduced transport capacity and increased costs as a result of COVID-19-related disruptions. Although we were able to fulfill all orders in first quarter 2020 and believe we have sufficient inventory and supply-chain flexibility to satisfy endpoint IC demand in the second quarter, the uncertainties related to COVID-19 affect our supply and demand picture near-daily. Third, in the near-term, we are modulating discretionary spending while continuing to invest in research and development and make ROI-driven capital investments. Although COVID-19 impacts our near-term profitability, we have charted a course to return to adjusted EBITDA breakeven on the other side of COVID-19 and will course-correct as necessary. We believe that our strong first quarter adjusted EBITDA underscores the strength of our business model and of our opportunity when the COVID-19 disruption clears, the economy reopens and demand returns. Our strong balance sheet gives us the flexibility to weather the storm and invest in our future. The investments we are making today will be the foundation of a stronger company in a stronger market position tomorrow. Turning to our outlook, considering all the issues we have outlined and, perhaps most importantly, that there is no modern precedent for overcoming a pandemic, we feel it is prudent to not give quantitative guidance for the second quarter. Instead, we will share additional metrics about our business. We do not plan to share these metrics on an ongoing basis. As of April 1st, second quarter backlog scheduled to ship in quarter was $32.3 million. As of Friday last week, we had already rescheduled $5 million of that backlog to future quarters and we expect additional rescheduling requests in the remaining two months of the quarter. Also as of Friday, second quarter bookings scheduled to ship in quarter were $5.8 million, down 40% quarter-over-quarter and down 21% year-over-year at similar quarterly dates. In the near-term, we expect end-user demand for endpoint ICs and systems to further decline and we are taking appropriate steps to mitigate the impact that that decline will have on our business. In the longer term we know that the COVID-19 crisis will pass, the disruption will clear, the economy will reopen and demand will come back. We remain focused on emerging on the other side of COVID-19 a stronger and more competitive company, delivering against the new opportunities that COVID-19 has created. In closing, I want to thank our Impinj team, our customers, our suppliers and you, our investors, for your ongoing support in these uncertain times. I will now turn the call to the operator to open the question-and-answer session.
Operator: [Operator Instructions] And our first question comes from Mike Walkley of Canaccord Genuity. Please go ahead.
Mike Walkley: Great. Thanks for taking my questions and hope everybody's doing well on the call. With the very strong last quarter results - yes, thanks, Chris. With the very strong results in at $6.2 million pulled in, can you just give us some color on maybe the end markets it was pulled in for or is this just your end market trying to build an inventory buffer just expecting some supply chain issues.
Jeff Dossett: Mike, this is Jeff Dossett, I’ll answer that question. We worked with a number - proactively with a number by our inlay partners as they elected to adjust shipment dates, according to their and our latest understanding of the - evolving demand environment. So I would say that it relates to broad base of change in the end customer demand, in particular in retail, aviation and automotive as Chris outlined in his initial comments.
Michael Walkley: Great, thanks. And then Chris, well clearly the near term challenging trends I have to say I was thinking of your company a lot, every time I've been waiting in the long checkout lines at grocery stores, I thought about how nice it would be to have cashier list checkout, in fact the way to move through the stores, during this…
Chris Diorio: You and me Mike, you and me both.
Michael Walkley: Yes, I can imagine everybody on the call, but during these tough times is it led to any kind of longer term discussions with customers to really position you guys better on the other side? Is that level of discussion happening yet? Or is it more just, everyone's just trying to, figure out businesses in the short-term?
Chris Diorio: The answer to the question is yes, I will say that it's a little too early to tell how things are going to emerge on the other side of COVID-19. But we've spoken previously about enabling retail self checkout, and needing to have loss prevention in order to enable that retail self checkout. So, the desire for self checkout, actually reduces exposure, reduces exposure to sales and other things and actually could potentially drive the ability for retailers to come back online more quickly. Now of course, that retail self checkout is only in very limited deployments worldwide but retailers are seeing that if they had had self checkout, they could potentially have returned the stores to more normal operating conditions more quickly. So we are seeing opportunities. And we expect those opportunities to grow as our end customers learn more about how they're going to be returning to normal. So in addition, we see visionary retailers with opportunities around shipping from stores, I mentioned in the prepared remarks. And omnichannel fulfillment will become more and more important in the future, you just know it. And so, we see omnichannel fulfillment as well also driving incremental opportunities. So in both of those instances, we see a long-term shift - a long-term shift in how our end customers go to market and a long-term opportunity for us.
Michael Walkley: Great thanks. Last question from me, and I'll pass the line. Cary thanks for sharing some metrics that you all plan going forward. Just to get maybe a little more clarity, on the 32 million scheduled to ship entering the quarter. Can you give us an idea of maybe the split between end points and the systems and just kind of overall how we should think about, trends in those two businesses and intermediate term? Thanks.
Cary Baker: Yes, so I think we did provide that information a little bit earlier in my comments. So of that backlog 29.5 million of it was related to endpoint ICs.
Michael Walkley: Okay, great. Thank you.
Cary Baker: And then on the risk of it - that’s only comment was a total comment. So we've received 5 million as of last Friday that have with request to sort of schedule into future quarters. And we expect more of that. In fact, we saw requests this morning to the same line. So there will be more coming we know it.
Operator: Our next question comes from Troy Jensen of Piper Jaffray. Please go ahead.
Troy Jensen: Congrats, on the nice results. Glad to hear everybody's well. Maybe a quick follow-up on Cary and the additional information. The 40% down comment was that like a bookings month-over-month maybe just go over that data point was that?
Cary Baker: Yes, that was a bookings comment year-over-year at the same point in this quarter.
Troy Jensen: So pretty much month-to-month…
Cary Baker: Excuse me, it was quarter-over-quarter, 40% quarter-over-quarter, 21% year-over-year at the same point this quarter. These metrics are as of last Friday.
Troy Jensen: Maybe also can you just remind me vertical exposure? Chris, I think you said that retails consumes about half of the ICs, but you guys had a rank order. How much is your exposure retail and then rank order what follows that?
Chris Diorio: So yes, Troy what I said is that the retail market consumes more than half of the endpoint ICs. We've consistently said it's more than half and typically said it could be around two-thirds. Since we sell so broadly to the market, our endpoint IC volumes roughly follow those market trends. So led by retail apparel, and then a long tail after that. Just everything from aviation to automotive, to industrial, to race timing, to consumer facing use cases and just a really long-tail. I would say that and I'm looking at Jeff as I'm saying this, I don't know that there's another one that really pokes up above out of that long-tail after your account for retail.
Jeff Dossett: Following retail, this is Jeff, following retail Troy I think there is growing opportunity as it relates to the shipment and movement of boxes, pallets, and cases. And so, supply chain and logistics broadly, as it applies not only to the retail industry, but virtually every other industry is a very broad-based global opportunity for the Impinj rate platform.
Troy Jensen: Yes understood. Maybe one last one for Chris, Chris, historically you guys talk a lot about healthcare being a very, big opportunity for RAIN seems to been kind of cool lately. But I'm just wondering, it's just the catalyst that this industry needed to just understand, the benefit side in this technology. And just probably it's still too early to tell, but to start to be helpful?
Chris Diorio: I'll say that it is too early to tell. We hope so we see amazing opportunities for RAIN in healthcare, for tracking supply chains and shipments, pharmaceuticals, medical products to have the right products in the right place at the right time. In surgical crash kits and hospitals, just there is so many use cases so much benefit RAIN could bring. It is a significant opportunity. And but it's too early to predict whether that - whether COVID-19 will drive adoption forward and manifest that significant value that we believe is there.
Operator: Our next question comes from Charlie Anderson of Dougherty & Company. Please go ahead.
Charles Anderson: Yes, thanks for taking my questions. And I echo those sentiments that everyone's is safe, it’s good to hear. So on that, and thanks a lot for all the color. On the bookings number the 21% year-over-year drop. I'm curious, Cary how that's been trending. Do you feel like we're at a trough point yet? I know that was just a moment in time last Friday, but kind of curious what the trajectory of that has been. And then I've got follow-up.
Jeff Dossett: Charlie, this is Jeff. I think the insight I would provide is that while we work closely and proactively with our inlay partners, they're still in a period of assessing a changing demand environment. And as they were exiting first quarter into a period of uncertainty, we know that many of our inlay partners elected to accelerate or expedite the shipment of endpoint ICs. As they had concerns regarding the, ongoing viability of shipping opportunities and wanting to be well positioned with strategic inventory, if you will to prepare them to meet the demand of their end customer. So they have been going through a period of reassessment and during that period of time, have been pausing on additional bookings as they assess their particular position against the demand opportunity they see ahead of them. As time passes, they will get a clearer idea of their customers demand. And therefore we'll be able to assess the appropriate level of inventory. And we stand ready to serve those requirements as they become clear.
Charles Anderson: Jeff thank you for that…
Cary Baker: The only thing I would highlight on that is that our backlog was very strong exiting the quarter. We had 29.5 million in IC backlog that's more than double approaching triple where we were a year ago.
Charles Anderson: That was actually my follow-up question…
Cary Baker: Yes Charlie, prior to the broader understanding of the emerging potential impact of COVID-19, we had had very strong bookings period coming into 1Q and into 2Q and a very strong pipeline. So the market was clearly evolving favorably, until it became more clear that there would be a demand impact from COVID-19. And so, while we can't predict when this phase will pass, it will pass and as I said, we stand ready to work closely with our inlay partners to ensure that they have the inventory they need to serve the demand from end customers as it builds through and out of 2Q.
Charles Anderson: Yes, so I was going to ask on the backlog that wasn’t really interesting statistic right was kind of curious because you haven't given it before, how volatile that number tends to be, in terms of the read through on it, more than doubling, potentially tripling. And then if you could also maybe walk us through the factors that lead to that true nice, clean read through of the business accelerating to that degree?
Cary Baker: Yes, so Charlie, I think it's not as volatile certainly timing plays into it. And we can see, - and you say if you look at a point in quarter so we're looking at the first 25 days of a quarter, yes, timing can impact it, but generally speaking, it's going to follow our revenue trends. And then beyond that, the 29.5 million highlight is not our total backlog that is just the end point IC the 32.3 million was our total backlog for the quarter.
Charles Anderson: But the biggest question is what factors would you ascribe to leading to that large increase in the backlog on endpoint IC?
Jeff Dossett: Charlie, this is Jeff. I think it's a reflection of prior to COVID-19 very strong outlook in terms of demand for endpoint ICs. And the opportunities that were emerging all around the globe, and it's our expectation that as supply chains and our inlay partners assess the changing demand environment, they will return to organic growth that we've experienced prior to COVID-19.
Cary Baker: Charlie I guess the only thing that'll add is that, as I said on the call, we also believe we had modest share gains. So when you combine the organic growth modest share gains, new deployments and just total opportunities, RAIN was growing.
Operator: Our next question is from Craig Hettenbach of Morgan Stanley. Please go ahead.
Craig Hettenbach: Yes, thank you. Just wanted to ask on the success of the systems program you talked about that, that big six quarter kind of ramp in that business. In terms of thinking about the pipeline and other opportunities and it might not be the same, but just wanted to kind of gauge using that as a proof point in terms of some of the opportunities you might see on a go forward basis?
Chris Diorio: Yes, so Craig - we continue to pursue opportunities, especially in supply chain and logistics, and in the retail space. As we've said before, those opportunities tend to be project based. And even the existing deployment that we have with that large North American customer it still is - it's in the process of transitioning over to the operational phase and we continue to support them. So I think you're just going to have to think if we continue to look for those opportunities, pursue them, there are other opportunities out there. But the timing of those deployments, the timing of when they come is really project - significantly project based and COVID-19 also adds another wrinkle - other uncertainties into the timing of those deployments.
Craig Hettenbach: Got it. And then just a follow-up on the M700 and understanding the visibility is very difficult broadly for every company out there today. Just curious to get your thoughts in terms of some of this delay, like what that ultimately means, maybe towards the latter point of the year, once customers are in the position to kind of - to ramp up and deploy?
Chris Diorio: Yes, so this is Chris again. So we continue with our production ramp. We are delighted for the factors that said on the call. That said, we still expect to be shipping production volumes in the second quarter and we expect the Impinj M700 to positively impact our business in 2020.
Operator: Our next question comes from Jim Ricchiuti of Needham. Please go ahead.
Mike Cikos: It's Mike Cikos here in place of Jim Ricchiuti. thanks for taking the questions today. The first question I had was building on the M700 so understandably, you guys are now a little more than two months delayed. I'm curious as far as how your partners are currently ramping production there. I think last time we received an update, they have been prioritizing existing lines, just wanted to get an update on how they are progressing in their production of the M700 and the ramping?
Chris Diorio: So I think the comment that I made last time would still hold there. They were prioritizing existing production and now as they're adjusting to the new demand environment, they're basically reevaluating and trying to understand what the opportunities for them are going to be going forward. At the same time, they've got to get their qualifications done at the end customers and those qualifications are either done by the end customers themselves or by independent bodies that do that. The qualification and those qualifications potentially get delayed at the end customer or at the bodies that are doing the qualification. So there are ongoing delays. What our expectation and hope is that we will see more of our M700 IC qualified at end customer opportunities such that as we exit the other side of COVID-19, we'll see a significant - ramp in demand. And we are still incredibly excited about that product. As I've said before, it's most significant innovation we've done since we introduced the first Monza IC many, many years ago. And it also has some unique features for loss prevention that will drive loss prevention and thereby enable self checkout. So we're excited about the future for it. And we continue pushing it forward.
Mike Cikos: Great, that's helpful. And then just one other question if I could, I know, coming into the year, there was the expectation that you guys would be increasing expenses to strengthen product leadership and more position obviously in a much different world today versus where we had been. And I think there was a comment to as far as you guys trying to, I guess moderate some of the spending and just interested in where is it you guys are looking to remove or curb some of those closed increases that we were initially looking for. And then how that plays off again, obviously, I have to assume that you're investing in R&D behind M700 launch?
Cary Baker: Yes, so it's a great question. So we have not changed our R&D and capital investment plans. What we have done though, is we've looked at our discretionary spend, and we are modulating or reducing that across the board. So think travel is almost nonexistent right now, discretionary marketing has been reduced. There's a variety of other similar type expenses that we're just not occurring right now. So while we anticipate our overall spend profile increasing, it’s not going to increase at the rate we thought at the beginning of the year because of those factors. And as a result, we expect profitability to decline in the near term, but we as Chris mentioned we've charted our path back to adjusted EBITDA breakeven on the other side of COVID-19?
Operator: [Operator Instructions] And our next question will come from Scott Searle of ROTH Capital. Please go ahead.
Scott Searle: Good afternoon, thanks for taking my questions. And thanks for the additional color and detail on the call. Focusing on the M700 a little bit, can you give us an idea, I just want to clarify the two month delays, the two months in total from the beginning or is that two months incremental to I think the last call when you talked about it slipping by about 30 days due to some of the initial issues in China? And then as it relates to the M700, can you provide a little bit more color in terms of how that was playing into that backlog endpoint IC number of 29.5 million, maybe give us some idea in terms of the number of designs the level of engagement and there was a whole product roadmap that you guys had hinted at but not shared. Are you guys still on track to be able to continue to develop that?
Chris Diorio: Okay, so this is Chris, I'll start with some of the questions. So the two month delay is total, it's not incremental on the last call. Although, as we've said on the call there's still a lot of uncertainties out in the market both in our supply chain and partners, and end customers and qualifications. So, we're doing our best to navigate the Impinj M700 production ramp through those uncertainties. And as I just said a minute ago, we do expect to be shipping production volumes this quarter. Although those production volumes because of the delays will obviously be smaller than we had originally anticipated. In terms of new products, we obviously continue developing new products. It's the lifeblood of our company. We haven't announced anything recently other than the Impinj M700 endpoint IC and the Impinj R700 reader. And at the right time when we have the products and it makes sense to announce new offerings, we will of course do so. But as Cary just said, we continue investing in R&D and we see this COVID-19 time as an opportunity to drive our future, to drive our competitiveness and emerge on the other side, a stronger company in a more competitive market position.
Scott Searle: Was the M700 anticipated to be a big portion of that endpoint IC backlog?
Chris Diorio: No, it wasn't. It was a smaller portion of the overall endpoint IC backlog because it's in production ramp. So given the size of the numbers that Cary was setting, it was a small portion of it.
Scott Searle: And are you still able to engage with customers to look - with the understanding that qualification and certification still remains an issue. But are you able to engage to try and get new design wins to continue to push additional customers along that path or is everything kind of ground to a halt on that engagement front?
Chris Diorio: We are still able to engage, but things are much slower. I'll just give one example to the extent we were going to be doing pilots in retail stores, where the retail stores shutdown, you can't do pilots. So when we said that, the retail stores are closed, basically delays - delay systems pilots, it delays some of the endpoint IC pilots and other things that were going on. So just as in other industries, we're equally impacted by the store closures and the other effects of COVID-19.
Scott Searle: Got you. And if I could on gross margin, I just want to make sure I heard those numbers correctly, you said there was a number of charges that translated to about a 510 basis point impact in the quarter, which if that's case implies that your endpoint ICs are actually in pretty good shape from a gross margin standpoint in the mid to low 40s, which is probably a little bit better given the seasonal pricing coming into the first quarter. Is that the correct way to think about it?
Cary Baker: Yes well, one correction on that it was 560 basis point impact on gross margin. So without that we would have been about 51.7%, but the logic everywhere else was exactly spot on.
Scott Searle: Got you. And then just lastly if I could, you talked a little bit better inlay partners and their process and working with their customers. Do you have any sense of what the - inlay and endpoint IC inventory looks like at the customers? Do you have any idea what that looks like in terms of number of weeks or lead times versus past history? Thanks.
Jeff Dossett: This is Jeff, Scott. I would say prior to the emergence of COVID-19, we and our inlay partners would assess that inventory levels were healthy and appropriate. Of course in facing the uncertainty of COVID-19, some of our inlay partners elected to expedite shipments so that they would have the security of on hand inventory. We anticipate our inlay partners for the most part, we’ll hold those additional inventories through the second quarter, and allow for the return to more normal demand in the latter half of the year to consume those inventories. So, at any given point in time, inventories and assessment of future outlook for demand, we work proactively and very closely with our inlay partners on a near daily basis to share data and insights into our understanding of the marketplace. And then, our inlay partners assess that information and insight, and make decisions about inventory, booking and shipment schedules. So, we'll continue to work very closely with our partners and stand ready to help them as they navigate through this period of uncertainty. And as they plan to prepare themselves for a return to growth in demand that they hope to see in the latter half of the year.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Chris Diorio for any closing remarks.
Chris Diorio: I just like to say thank you all for joining the call today. I hope you and your loved ones are and remain safe and well. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.